Operator: Ladies and gentlemen. Thank you for waiting. Welcome to the video conference of results disclosure of the second quarter 2022 Eletrobras. With you, we have Mr. Rodrigo Limp, President of Eletrobras; Ms. Elvira Presta, Director of Finances and RE; Ms. Camila Gualda, Director of Governance, Risks and Compliance; Mr. Pedro Luiz Jatobá, Director of Generation. This media conference is being recorded and will be available on the IR website of this company. We will have the presentation in both languages. If you need simultaneous translation, we have this availability on the icon -- translation on the icon, English or Portuguese. If you choose English, you can silence the original audio in Portuguese, clicking on mute original audio.  Statements made here concerning perspectives of business of the company, business projections, operational and financial goals are based on believable and foreseeable information, future consideration and future facts, involve risks, uncertainties and depend upon circumstances that may or not occur. Investors may understand that operational factors and the economics may influence future results and considerations. Now the floor to Mr. Limp, President of Eletrobras, to start the presentation. Mr. Limp, floor is yours.
Rodrigo Limp: Thank you. A good afternoon to all. Welcome to our presentation of results of the first quarter of 2022. It’s a great opportunity to share results. We have this commitment with transparence and dialogue to the whole of the community media especially, and it’s satisfaction. Our colleagues are here from the Board, RE, legal, finances, accountancy that may contribute to the presentation during the phase of questioning. I’ll start opening the detailing of the financial pieces of information and Ms Elvira will go into more detail with the date of the company in the last quarter. First slide, a disclaimer that has been mentioned in the beginning and then the context to sectorial and economic. The above graph is the load of energy 2022 versus 2021 first quarter growth of 3.4%. That points out to a growth post pandemic. In this first quarter, we felt this impact, but we have retaken that more robustly and that is affecting daily load. We have GSF and PLD, they show the recovery of the hydric crisis that affected Brazil in 2021, the most serious one in 91 years. And we had, since the beginning of the rainfall season, appropriation and some measures that were taken by the government, the regulating agency that allows for an improvement in the scenario of services providing in energy reservoir-wise and distribution. GSF, the distribution of these reservoirs, measures wise and the best rainfall scenarios and GSF around 95%, 97% in that order. Last year, we were around 67%. And the same interpretation, in the case -- hydro crisis, we have a PLD in the order of 56, around 60. Halfway last year, we had 600 or almost that. Currently, we have a scenario that is much more favorable that we had in 2021. We have the performance of the generation. Eletrobras is responsible for 20%, 80% of the installed capacity in our system. In the first quarter, we were responsible for 38% of the total of the energy consumed in Brazil. A very strong number due to the best hydro conditions and affect our participation in the generation of energy. We have energetic energy balance, as you can see, in the lower portion. ‘21, ‘22, we don’t see major alterations revenue that we’ll go into detail later on. We have a considerable growth in generation. The item by item, this values show a growth in nuclear energy. The revenue grew by BRL 300 million compared to the first quarter of 2021. The next slide, performance of transmission. Eletrobras has 39.6% in the last quarter. We had a little above 40%. So it dropped slightly compared to the last quarters. In the last years, it has happened as well. Performance-wise, we had a very robust trend quarter. Last year, we had a lot of results from investing in improvements. 2018, we see an improvement that’s significant with disconnection of lines and availability, operational of transformers, we have very favorable numbers in terms of availability cuts of loads, 42% less variable installment, 1.70% minus BRL 7.79 million reduced compared to last year. Last year, we had a growth by 12% with some main factors that affected that -- affected revenue, the energy Angra 1 and 2, a process associated to Candiota 1 and 3 and assets of retransmission, Chesf, that affected positively the operational revenue of the company EBITDA. And in that sense, we had a reduction of minus 3%, affected by PCLD associated by the distributor of Amazonas. The last quarter, we had a growth that was rather robust compared to last quarter of last year, 69% of growth, BRL 2.7 billion. That represents the best result of the first quarter of the company since 2006. In the beginning of the history, they started to be consolidated and the result can be consolidated, and this is the best results for Eletrobras in net results. It’s very expressive. Financial results. We had something around IFRS net liquid, 69%; EBITDA, 6% -- 9.6%; and net revenue, 66%, BRL 4.5 billion in this first quarter of 2022. Next slide. Some more highlights of the company in the first quarter. Capitalization of Eletrobras by the Comptroller General Office, the first in the stage of the approval of the process, the bundles of granting associated occur to concessions. On the 15 February, 2022, we had  the minimum price of actions -- shares by Eletrobras. ROL, plus 12%. PMSO, minus 3.4% is standing for the increase in the efficiency of the company. The numbers of growth in net growth, we have revenue and exchange rate variation with a very, very, very important rate and very important role. We are still with the rationalization of the societary participations. CSE, Inambar, we ceased relationship. We have 77 participations and specific partnerships. We used to have 118 in the beginning of 2017. So there has been a rationalization of the associate participation or shareholding participation. Liquid -- the net debt, you see the numbers here. EBITDA of 2.4 -- BRL 21.4 billion. Net debt BRL 20.5 billion. And then we have the annual -- debt has to do with the annual result from 2021, PCLD Amazonas D BRL 1.226 million, very impacting. Eletronorte more impacting, BRL 867 million and the holding in the order of BRL 359 million. They were very meaningful and negative. BRL 300 million related to compulsory loans. The last and but not least important, the return of Eletrobras in the portfolio of ISE B3, included in August 22. ICO2 B3, the efficient carbon emission index, the Joining of the 2D initiative -- metrics of the stakeholder -- capitalism of stakeholders, inclusion in the leaders a list of engagement of suppliers in climate changes. Joining the Brazilian program, GHG protocol. You see the certification says here that point out the commitment of Eletrobras that makes us proud because that’s about the recognition that we have within the team. And that speaks for our presence and acting in the market. And here on this note, I wrap up my presentation. Ms Elvira, if you would carry on with the detailing of the financial performance.
Elvira Presta: Thank you. Good afternoon, all. One more video conference of our results. First slide, as we do in every quarter, we have our results. The column blue is IFRS and green is recurring -- nonrecurring actually. But based upon recurring basis. We’ll start with the most relevant ones, and then will go into the EBITDA cost and what is more relevant and more clear. Gross revenue as well pointed out by our President, we had a quarter that was very positive growth in the order of 11% of the revenue. This growth, when we see values, it’s in the order of BRL 1 billion, 60% from generation and 40% transmission. Generation-wise, this BRL 300 million in that orders have some important factors, among which Eletronuclear, we had the annual readjustment of rates related to the repassing of the nuclear fuel and our other subsidiary. Eletronorte have one contract with a very major industrial -- major derivative that is controlled by the price of the aluminum, almost BRL 150 million in the transmission. It’s important that we have been very successful in the focus that has been increased in improvements and efforts towards that, and this has been clear in this quarter more than BRL 350 million. And this BRL 444 million came out of these efforts. And then we have the reorganizations of SPEs, TSLE is being used in the southern region as well. The revenue is being accounted for in the order of BRL 134 million and other agents that are connected to IGPM. PMSO wise, we have to point out that it dropped 3% based upon IFRS with some important events. We are reducing these expenses even though we had some of them that actually increased such as employees agreements and repass of some wages readjustment. And as we have done in the last few years, we have been able to cut down on these expenses. Raw materials and services are related to maintenance that have our seasonal and have happened sometimes a year, not necessarily every quarter. You see some costs going up compared to last year. We have a more consistent shipping of our subsidiary, Furnas. The shipping was almost twice as much as last year, increasing the -- explained by the increase in the prices of fuel and financial results, very positive, almost BRL 1.2 million better than the same period last year, thanks to the exchange rate variation. Sometimes it’s positive. Sometimes it’s negative. Rest, it has been based upon cash flow and not economics. We have applications, best -- better cash flow, and at the same time, it compensates with the increase of tax burden and other expenses. Nonrecurring. The compulsory loan, BRL 300 million, based upon the Selic Index. Graphically here, we see what we have just seen. The gross revenue, 11%. You can see the bars, the green ones, the main ones, the generation was responsible for almost 60% of this increase in revenue. And as mentioned, the readjustment in Eletronuclear energy, Angra 1 and 2, the contract is on EletrobrasFurnasEletronorte and Chesf had an increase in new contracts, transmission. We have the impact of these investments in efforts and improvements, which is organic. We are increasing our network according to the needs of the system and that translates into revenue. In the next slide, we have the main events and the average prices -- mean prices where we trade our energy, we have a bit regular and the free market. So regulated market-wise, we had 3 blocks. Regulated contracts quotas and nuclear. This trimester, despite having a drop in the volume of the regular market on account of the prices that have grown in this period and the readjustment of the prices of Eletronuclear, we had an increment in the revenue. The bilateral contracts that I mentioned, we talked about the contract with Eletronorte that has the derivative that is based on the price of the aluminum or aluminium that affected our numbers. We had the regulated contracts. Nonrecurrent ways exclude this. Nevertheless, in the gross revenue, we have that into account. We had a legal decision that had to do with a public bidding that was spending and was actually decided in favor of the company and was converted in BRL 100 million. I think these are the main events that we have in terms of revenue generation. In the next graph, when we bring the PMSO, operational revenue -- expenses, services and others. The left, we have IFRS recurrent basis and the drop of 1%. Here, we have our employee in blue 60% of our PMSO. And as I mentioned, we have had some increases due to inflation points, the collective agreement concerning wages reposition of losses. And we have also measures implemented in previous years, raw material and services. The growth -- the increase that we see here actually is due to maintenance and similar, and there is no seasonality here. Others, we had a reduction for having less expenses with income taxes that impacted the numbers last year, and that didn’t happen this year. In this new slide, we have the detailing of the provisions. The President mentioned that we had an impact of PCLD Amazonas Energia. Most of it we call PCLD perspective, and this PCLD is subdivided in sales of energy that is in the subsidiary, Eletronorte, a former Amazonas GT. And the other part is financial contracts, and that of Amazonas Energia with Eletrobras Holding. What is in green -- light grain, BRL 1.2 million, we have a highlight on the right side. The composition of that, BRL 867 million, referring to the credit PCLD concerning Eletronorte and BRL 360 million for the Holding. And then you can understand the values involved, and we can show the total indebtment of Amazonas Energia, BRL 7.185 million. Those are fines plus the recurring debt in the order of BRL 2.6 million. Accrued provision, BRL 3.5 billion, almost 50% of this total credit. The composition of the BRL 3.5 billion, half approximately is financial contract and the rest energy. Good -- a good share of this perspective, but to your right, you have the value that is expired, is matured in the end of the semester. BRL 546 million taxes and the remaining in contracts of energy. We have the value of this trimester compared to the same quarter last year by trimester here understand quarter. We have Furnas compulsory loan. We had  that were unfavorable. In some other cases, they are . We have a lot of legal suits ongoing that may represent gains in the future. So far, BRL 300 million in this quarter. That is the EBITDA graph, a growth of 9.6%. Graphically, we see that this growth is in the increase of the revenue that was detailed BRL 920 million. And shareholders in the same trimester last year, we had a negative result in shareholders that has represented a gain. We had an increase in costs. Part of this increase in the revenue has to do with that. And the shipping of the thermal power plants, that’s explainable, the provision perspective that I just explained. We see that on the right out of the access of the EBITDA -- recurring EBITDA. You see minus 1.600 that has to do with the recurring perspective. And then we have the net revenue. 66% in recurring basis, plus 69%. We see here EBITDA, and as we have seen in the previous slide, the most impact in factor was the exchange rate having to do with the strengthening of the real, the Brazilian currency. Those effects actually add up revenue taxes. It’s not cash flow based, it’s economy-based, economic-based. And let’s see what’s happening in this aspect. We can look now at the maps, EBITDA that -- 4 quarters have been steady with the EBITDA debt growth. The number is in BRL 48,000,600. We have long-term minus financing that we still are to receive. We reach -- I forgot to point out our cash flow consolidated. That is steady compared to the last quarter with a net debt in the order of BRL 20.5 million. We have some events that are subsequent -- consequence of that. In April, back in 2019, when we came back to debt market, we have debentures. It should that matured in April ‘22, BRL 1.2 million, that was actually fully paid off. We have fundraising for Furnas. See it is after transmission that happened in April that was informed that we have a reinforcement of the cash flow of BRL 1.1 million, and this graph in yellow is the EBITDA 12 months. The last slide, CapEx our investment, generation and transmission. We can see here the generation of this trimester with a little more hardship. 1/3 of what was planned for was actually accomplished due to challenges. Firstly, we have our planning for this year that was very much focused in the increase of renewable sources. And this is a segment that is very promising regulatory framework wise, and suppliers are overloaded as well, and that has been -- should giving us challenges in acquisition. We need to have some adaptation, some level of adaptation. Another important point, Santa Cruz thermal power plant, it was -- actually, it left in the first quarter. In transmission, we had great results, more than 90% more than planned. And as I mentioned, revenue-wise, we have projects of reinforcements and improvements that have proven very important for our revenue growth. We covered about 50% of the plant for the quarter. And on that note, I end my presentation, and we are available for Q&A. Thank you, all.
Operator:  Our first question by Mr. Marcelo Sá analyst -- sell side analyst from Itaú.
Marcelo Sá: I’ve been wondering about what’s happening with Santo Antonio. We have a legal disputes, and there was a loss and that decision will have to be paid off. I wonder what happens to Eletrobras if things keep on this direction. If Eletrobras takes full control of that power plant and whether that would affect the offer schedule? Or that wouldn’t -- whether that wouldn’t affect it at all? Thank you.
Rodrigo Limp: This is a theme that must be approached. We have to send a vision of the company. That is a theme that when we have relevant information, we maintain our commitment to being transparent and maintaining media and investors in the loop. In the beginning of February, there was an unfavorable result concerning the arbitrage-related to SAESA, BRL 1.5 billion with financial information is still related to the last quarter of 2021. Concerning accounting and results of that last quarter, fourth quarter, we mentioned -- we included Furnas, 43% of that BRL 1.5 billion provisioning from the fourth quarter and with 0 down our investments and results so that we can deal with this BRL 1.5 billion as plan SAESA defined sets forth some things. They had a shareholders’ meeting so that they would talk about increase in their capital BRL 1 billion to BRL 1.5 billion. It was a positive result from most of the Board, and now we have 30 days so that shareholders can consider the subscription of the shares. And the fundraising and the payment of the installment sales mentioned or disclosed to the market, that will not fund Selic parcel -- installment. We are taking our actions so that we can make a decision about this funding, including the scenario that you mentioned of  by the other shareholders. The assessment, economic and financial also an evaluation. Legal, in case of this necessary and  that are necessary from debtors and others, other parties, we need an assessment of Furnas. We need an assessment, risks and within Furnas, this is a process that is within expected. SAESA has behaved this way. Eletrobras has 77 subsidiaries and with the need of assessments and considerations following the due diligence for us to make a decision, there is no relation with the process that was submitted to the assembly of the shareholders. The assembly had items defined,  the resolution of the PPI. SAESA is a matter of the management of Eletrobras that was decided for  and the process of capitalization. We don’t see this need to revisit the matter of the assembly just based on that. We are working on both SAESA and the schedule of the offer, and the deliberation by the Comptrollers General Office.
Marcelo Sá: It’s very clear. Maybe one more question, additional provisions wise. Concerning Amazonas, how is the company make -- what kind of effort will make sure that you’ll get this assets. That concern, it feel very high loans that keep on growing. What are the chances that -- as a matter of fact, you get -- you are paid back these resources. I would like to understand this perspective a little more. Part of the amount that you have here that ANEEL can actually execute.
Rodrigo Limp: Elvira and Mr. Jatobá like to complement, it would be great. This is a problem not only of this trimester, but from last trimester as well. Amazonas distributor is an area of concession that is complex when we had the bidding -- the public bidding. We had major challenges of management regulatory-wise especially, and we had a problem with the company. And a distributor, we do not have the structural balance that we need. Some measures have to be taken. There are some regulatory proposals and measures of management of the company. Mainly when it comes to the reduction of losses, systems of measurement, we have treated in a way that so far haven’t had -- do not reinforce any concern regulatory points that are helping us. I think Elvira and Jatobá may help us in this point. Mr. Jatobá?
Pedro Luiz Jatobá: In this matter of ANEEL, this resolution that has been rather recent concerning the contracting, and we do not have to wait 1 year to have the impact that affects the operational capital of that. The crisis increased a lot of prices. The liquidations were happening at very high prices and didn’t impact as much as one would expect. With the rainfalls and the drop in the prices of energy, we have this discussion happening over again. In the short term, it gives us a possibility of equation that totally with this default more recent in the realm of the regulatory agency. We have to keep on -- keep track and help to find the solutions for the structure. We were able in the past a few things. And this is the objective.
Operator: Our next question comes from Julia Zaniolo, analysts sell-side Santander.
Julia Zaniolo: If this CEO Comptroller’s General Office approves that tomorrow, what are the next steps?
Rodrigo Limp: Julia, thank you for your question. We had in the last meeting with the Comptroller’s General Office, expecting to go back to this discussion on the subject tomorrow. That actually has informed, changed our window for the capitalization process. We are presenting now. Looking at the recent milestones, we advanced in important points. The launch of the offer. In February, we had the extraordinary assembly of the shareholders. The 20-F that was filed in the beginning of March and the most important and necessary that was realized yesterday with this presentation. In case the TCU approves that, then that doesn’t include what is mentioned in  and what was sent to assembly of action. After analysis, we’ll have to analyze the agreement of TCU so that we analyze whether all the documentation was submitted to the action to the shareholders. We have 2 levels, the updating of the reference form concerning the results of the first quarter. We have to finish the document of the prospect. It’s a complex work, evolves all lawyers hired and the independent auditor. The regulatory limits deadlines of SAC. We have around August to conclude the operation, but we think the holidays in northern hemisphere that start in July, in Brazil, we want to start that as soon as possible. We are not going to define any date because we need that assessment. In January, we pointed out that as part of the schedule, the prospect of the offer in the second quarter, that notice is still valid. We have no dates, but we are working for that. We are working towards building the set of documentation that is necessary, and we are taking all necessary action to have that same schedule for as presented for this year.
Operator: Our next question is by Giuliano Ajeje, sell-side UBS.
Giuliano Ajeje: I have some questions. Let me just go back to Santo Antonio. What is the worst possible scenario? For instance, in Santo Antonio, making and viable Santo Antonio and is still on Santo Antonio, what would be the increase in the minimum capital to avoid this scenario? And on this scenario, that you assumed, and you have more than 50%. How would be a leveraging of Eletrobras, if you could minimize payment of dividends or minimize the future CapEx. This is the first set of questions. Uncertainty in Santo Antonio, and I have others about Santo Antonio on capitalization.
Rodrigo Limp: Santo Antonio is one of our greatest asset that we have to assess any point that may affect this scenario with all scenarios in mind, including those that the shareholders do not do the funding. We have to explain what would happen in the worst possible scenario. We would need analyze the impacts of all the alternatives so that we can make decisions based upon the continuity of Santo Antonio Energy. That is one of the largest subsidiaries of the company. Discussions happen independently. One company in the size of Santo Antonio, if there is a problem, it’s a point of attention. That’s part of our -- we are looking at the increase of capital so that we can make the best possible decision for Santo Antonio, Furnas and Eletrobras as a whole. And we had the consolidation of the debt that is part of our analysis. We still do not have the conclusions of this study, but with the consolidation of Santo Antonio, we have EBITDA and we have an index of leveraging that is -- that has room that we understand as proper within our plan of -- business plan with focus on financial discipline and anything will be taken into consideration, that financial discipline, Elvira, would you have any compliment?
Elvira Presta: This is exactly what you mentioned.  has to do with consolidation. We have a debt that is very relevant. EBITDA will come a long time and will consolidate. You may have a stronger impact in the beginning. And besides the fact that we have a leveraging level very manageable, and these analysis are being made through studies, and we are waiting for a decision of our governance, as mentioned here.
Giuliano Ajeje: A point that is of interest of everyone, capitalization at the road show would start in June. On the light side of Eletrobras 15 days with the publication of the reference form at the end of the month. And I would like to hear your opinion. We have the Comptroller’s General Office assembly tomorrow, but tomorrow will have a response. This report on TCU have some determinations. I would like to understand with you whether there is a base case, if you agree with me, and that would be necessary at least 10 day to deal with those determinations. And if within that we can start in June.
Rodrigo Limp: We have to see the deliberation. We do not know the determinations of what happens. We have to estimate what we still don’t know. If there is something that doesn’t impact what we are seeing, and we still maintain what I mentioned in the beginning of the year.
Operator: Our next question, Henrique Peretti, analyst -- sell-side analyst, JP Morgan.
Henrique Peretti: I have 2 questions considering capitalization. Can you explain whether according to the vote of the , whether that will be required a new GE? Would be necessary a new GE? And the second question, how would work the mechanics of the minimum price? This is something that we have heard a lot. The minimum price will not be open. We don’t know whether it will be -- we have the whole book building, and if we’ll do a cross checking, and if during the process, there is any type of indication? Basically, we want to know whether you do the whole book built in process with a mean price that has been realize?
Rodrigo Limp: Thank you, Henrique, for the 2 questions. The first related to -- we had a question. We had the contribution of other ministers. We do not have a clarity in terms of -- we have in common with most ministers. We have some discussions that have advanced. We have to be conservative. And we have defaults that agreed with the decisions of other ministers that might have been a misunderstanding of us, and that’s why we want to wait for the final decision of the Comptroller’s General Office. We didn’t discuss minimum prices, the BNDES have contracted debt. They do not have knowledge of the minimum price, and we are going to work without knowing the minimum price. So Elvira, if you feel like you can add anything?
Elvira Presta: We know that the BNDES -- we do not know that we have to do valuation. This study has been submitted. I think that the information that we have that the decision will affect the price. Book building will be discussed slightly ahead by the BNDES, and -- but we are certain of this process. The first one is still open for answer.
Operator:  Now we would like to end our Q&A session. Mr. Limp, if you would have your final remarks. Mr. Limp, please.
Rodrigo Limp: Thank you, Luiz. I would like once again to thank the presence of everyone. Everyone that we have been here with us ask questions, and I reinforce our transparency in the disclosure of all information. And it will be a pleasure to answer your questions, whatever they are, send them to us, and we have been recognized as a company of a management and a governance of transparency. The numbers were very positive. Results in general were very positive, and always searching for the best possible for the company. Have a great day.
Operator: At this point, the conference of Eletrobras is adjourned. We thank you all, and have a wonderful day.